Pedro Courard: Good morning, good afternoon. My name is Pedro Courard, I'm CEO of Atlantic Sapphire. And today, together with Gunnar Skinderhaug, our CFO, we will present the third quarter operational update of the company. The company has been performing according to plan during the last quarter. In terms of production, achieving 1,400 tonne HOG in the third quarter at an average weight of 3.1 kilo HOG. And in terms of prices, we achieved $8.6 per kilo, let us say, 19% above the U.S. price index. We have continued the process of operational improvement in all areas, allowing us to keep our ambitions in terms of future production. As we are finishing the operational upgrades started in 2025, we are now realizing the positive impact of having more stable systems. While our feed conversion remains stable in 1.3, we have been constantly increasing our feed consumption rate permitting us sustain our future production plans. Losses were slightly higher than in previous quarters, but still within normal ranges and very low. Keeping our trend for 2025. During the third quarter, we increased our harvest maintaining good average weight, reaching premium prices. Following market tendencies during the quarter, we had a decrease in prices compared to previous one. Both net and standing biomass are showing stable levels for the last 2 quarters, in line with our expectations.
Gunnar Aasbo-Skinderhaug: Efforts are currently on Phase 2. improving biological and financial performance. Phase 1 harvest data improving, sales performance is improving. As Pedro mentioned, and profitability measures are on track. All efforts are currently on Phase 1. Phase 2 investments are preliminary cost as we focus all our efforts on improving Phase 1. The profitability measures are on track and will drive down unit costs in the coming periods, mainly from 3 areas. Scale is increasing as volume increase, scale effect is increasing. Current harvest volume is expected at 5,400 metric tons for 2025, growing to 7,000 metric tons for 2026 and 7,500 metric tons for 2027. Another improvement area is cooling and energy as new measures allow more efficient water cooling on the facility. The third main area is maintenance as Pedro mentioned the maintenance program is executed and completed and will drive down unit costs going forward. Beyond the ambition, we see further potential going forward. Also through scale, increasing from 7,500 and beyond, we see optimized Phase I operating at 8,500 tonnes annual harvest weight. We also have further potential to improve cooling and energy usage and also improve FCR. This will drive down unit cost in an optimized Phase 1 further. And Phase 2 will allow further scale on the facility, allowing even further reduced operational costs per kilogram harvested. Now we open for Q&A.
Gunnar Aasbo-Skinderhaug: [Operator Instructions] We have one question from IntraFish. When do you expect to be able to move to Phase 2 and how have costs for this changed?
Pedro Courard: Well, first, it's important to mention that today, we are 100% focused on Phase 1. Our goal is validate Phase 1and everything is going in that direction. Once we are able to validate Phase 1, we will continue spending resources in Phase 2. So far, we don't have yet a cost estimation for this step.
Gunnar Aasbo-Skinderhaug: We have no further questions posted. We are open to receiving questions also on e-mail. We will reply as quickly as we can. There is 1 here from DNB. What measures will you take to improve net biomass growth to target 2,200 to 2,500 live weight per quarter? And when do you expect to get there?
Pedro Courard: Today, we are running according to the plan. The measure are the normal one. We are increasing the feed consumption per day, our goal is to be at around 32 tonnes per day, and now we are moving directly in this path. So we expect that in the first month of 2026 will be in that level of standing biomass.
Gunnar Aasbo-Skinderhaug: There are no further questions posted. As mentioned, we will answer questions also on e-mail. Thank you, everyone, for attending this Q3 presentation. Wish you all a great day.
Pedro Courard: Thank you very much.